Operator: Thank you all for joining us this morning for the Biostage Second Quarter 2019 Financial Results Investor Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I'd like to remind our listeners that remarks made during this call may state management's intentions, hopes, beliefs, expectations, or predictions of the future. These are forward-looking statements that involve risks and uncertainties. Forward-looking statements on this call are made pursuant to the Safe Harbor provisions of the federal securities laws. These forward-looking statements are based on Biostage current expectations and actual results could differ materially. As a result, you should not place any undue reliance on any forward-looking statements. Some of the factors that could cause actual results to differ materially from those contemplated by such forward-looking statements are disclosed in the periodic reports that Biostage files with the Securities and Exchange Commission. These documents are available in the Investors section of the company's website and on the Securities and Exchange Commission's website. We encourage you to review these documents carefully. Following the company's prepared remarks, the call will be opened for a question-and-answer session. It is now my pleasure to turn the call over to Chief Executive Officer of Biostage, Mr. Jim McGorry. Thank you. Please go ahead, sir.
Jim McGorry: Yes. Thank you, operator. Our Vice President of Finance, Peter Chakoutis, with over 20 years of life science experience will deliver our financial update. Peter? 
Peter Chakoutis: Thanks Jim. And thank you everyone for joining our call today. I'll provide a summary of our 2019 second quarter financial highlights. And then turn the call back to Jim for business update. Following Jim's update, we'll open the call to questions.  We have very productive second quarter as we continue to make progress towards the completion of our preclinical data set in preparation to file our first IND for our Cellspan Esophageal Implant product candidate. Our team also continues to progress significant preclinical proof of concept studies for our pediatric esophageal indications. For the second quarter of 2019, we reported a net loss of $2.4 million, compared to a net loss of $2.1 million for comparable 2018 period. This year-over-year quarterly net loss increase was primarily due to higher R&D spending as we focus on planning, organizing and submitting our first IND. We consumed $2 million of cash and operating activities during a current quarter in support of these R&D efforts. We also raised nearly $2.3 million of cash in the second quarter including $1 million from some warrant exercises and approximately $1.3 million of proceeds from the issuance of 345,000 shares of our common stock to new investors at a purchase price of $3.70 per share. At June 30th, 2019, the company had cash on hand of $1.3 million and zero debt. I'll now turn the call over to Jim.
Jim McGorry: Thank you, Peter, And good morning, everyone. Since our last quarterly update, our team continues to improve our upcoming IND filing with the FDA. Almost all preclinical activities have been completed and we are now summarizing and finalizing sections, while updating to the FDA's electronic format. We've kept a low profile in Q2 as we made great headway on the groundwork for our first IND filing in September. Our advisors and esteemed scientific advisory board have helped us in this process, making sure that we had answered all of the FDA's questions and requirements. These clinical insights have greatly improved our preparations and will help ensure our filing is the most complete as it can be when it reaches the FDA next month. Additionally, we have signed a consulting agreement with a former FDA reviewer to help position our data in the best clinically relevant context. The appropriate quality standards and risk mitigation support our GLP preclinical studies moving to the next stage. And our regulatory teams are experts in first in human clinical trials. Our combination solution that merges stem cells on a removable scaffold to trigger regeneration in the host is innovative and unique. And we believe we have a strong package that is improving every day.  Regarding financing, we continue to run a low burn, lean organization dedicated to capital control and clinical translation. Our investors have sustained their confidence in our vision as we close additional private placements at a premium to market. Additionally, our investors continue to exercise warrants to extend our runway and eliminate any financial overhang. We know the realities of our balance sheet. The discipline we have learned in capital preservation is serving as well. Once we file in September and with a planned approval from the FDA in October, we will look to build on the scientific credibility through a capital raise and at the same time up listing to NASDAQ. We are planning for success and prudently arranging for contingencies. The ultimate goal of Biostage is to dramatically improve the lives of children born with pediatric esophageal atresia. At the recent American Pediatric Surgical Association meeting in May, Biostage received strong support from many pediatric surgeons on our technology. We will continue to work closely with the Association with a Co-Chairman of our Scientific Advisory Board Dr. Joseph Vacanti who was recently named President. All put together, we had a quiet but disciplined quarter that has kept us on track to file in September. Forward motion continues to be our team mantra. Operator, we can now open for questions-and-answers.
Operator: [Operator Instructions]
 :
 :
Operator: I'm showing no questions in queue at this time. Do you have any additional or closing comments?
Jim McGorry: Yes. Thank you, operator. We've worked hard to get to where we are today. And we look forward to updating all of you after we file next month. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation. You may disconnect your line at this time. And have a wonderful day.